Operator: Good afternoon. Welcome to Aviat Networks' Third Quarter Fiscal 2024 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. Please note, this conference is being recorded. I will now turn the conference over to your host, Mr. Andrew Fredrickson, Director of Investor Relations. You may begin.
Andrew Fredrickson: Thank you and welcome to Aviat Networks' third quarter fiscal 2024 results conference call and webcast. You can find our press release and updated investor presentation in the IR section of our website at www.aviatnetworks.com along with a replay of today's call. With me today are Pete Smith, Aviat's President and CEO, who will begin with opening remarks on the company's fiscal third quarter; followed by David Gray, our CFO, who will review the financial results for the quarter. Pete will then provide closing remarks on Aviat's strategy and outlook, followed by Q&A. As a reminder, during today's call and webcast, management may make forward-looking statements regarding Aviat's business including but not limited to statements relating to financial projections, business drivers, new products and expansions and economic activity in different regions. These and other forward-looking statements reflect the company's opinions only as of the date of this call and webcast and involve assumptions, risks and uncertainties that could cause actual results to differ materially from those statements. Additional information on factors that could cause actual results to differ materially from these statements made on this call, can be found in our most recent Annual Report on Form 10-K, filed with the SEC. The company undertakes no obligation to revise or make public any revisions of these forward-looking statements in light of new information or future events. Additionally, during today's call and webcast, management will reference both, GAAP and non-GAAP financial measures. Please refer to our press release which is available in the IR section of our website at www.aviatnetworks.com and financial tables therein which include a GAAP to non-GAAP reconciliation and other supplemental financial information. At this time, I would like to turn the call over to Aviat's President and CEO, Pete Smith. Pete?
Peter Smith: Thanks, Andrew and good afternoon, everyone. Let's review Aviat Networks results for the third quarter of fiscal year 2024. We're pleased to report that Aviat continued execution of it’s organic growth strategy that made further progress on it’s Pasolink acquisition. Highlights from the third quarter include total revenue of $111.6 million which represents growth at 34% versus Q3 of last year. Core Aviat revenue growth of 7% versus the same period last year, non-GAAP gross margin of 35% with core Aviat margins above 38%, adjusted EBITDA of $12 million, 11% higher than the year ago period, non-GAAP EPS of $0.73, strong cash generation in the quarter with $59.2 million of cash and marketable securities on the balance sheet and a net cash balance of $10 million. These financial and operational results are driven by the continued implementation of Aviat’s operating model and made possible thanks to the effort and execution of the Aviat team and our partners throughout the quarter. Let's review key highlights of the third quarter. We continue to progress the integration of the Pasolink business. In our first full quarter of ownership, we accelerated the execution of cost structure optimization and approached our near-term profitability goals. These efforts will continue to accelerate over the next two quarters as Aviat moves away from transition services provided by NEC. The Pasolink business was nearly breakeven on an EBITDA basis in the quarter and was accretive to our free cash flow generation. As we have onboard Pasolink customers, we have undertaken a customer profitability review to ensure margins are at sustainable levels. While work is still ongoing, we expect that this will result in a slower ramp to the targeted $140 million annual run rate contribution. However, this should translate to more attractive business for Aviat shareholders. Beyond the existing Pasolink base, the sales teams continue to build cross-selling opportunities where we are introducing Pasolink products to historical Aviat customers and vice versa. We have already converted some of these into bookings and expect this will continue to grow in the quarters ahead. From a cost perspective, we are tracking to our internal plan to reduce cost of goods sold and excess inventory for the Pasolink business. We had some wins in the quarter and anticipate beginning to realize some more significant savings in the current fiscal fourth quarter, primarily from inventory rationalization. Further, inventory optimization and cost savings will materialize in fiscal year 2025. Overall, the transaction is tracking to an IRR in excess of 2.5x Aviat’s weighted average cost of capital. Moving on to the core Aviat business. In private networks, investments and upgrades to numbers [ph], both in the US and internationally continued to support growth in this segment. The recent U.S. nationwide Tier 1 outage underscores the importance of private public safety and critical infrastructure networks. Our customers turn to Aviat for design and operation of networks that are engineered with a high degree of redundancy and reliability. Aviat’s equipment enables first responders, utilities and governments to continue communicating even when public networks are compromised. Driving further investment in private networks is the recent authorization by the FCC at the end of February for companies to begin offering Automated Frequency Coordination systems or AFC for spectrum in the 6 gigahertz band. This is an exciting development that will likely lead to more fixed wireless access usage. However, concern persists among many of our private network customers as their microwave backhaul largely utilize the 6 gigahertz band, creating the possibility for interference. We've been preparing and have developed a comprehensive suite of solutions to protect these networks by detecting and correcting interference issues. Our Frequency Short Software or FAS is patented software that analyzes customers networks to detect interference and suggest remediation actions. Working on Aviat radios and the radios have a leading competitor, FAS allows the network operator to have confidence in their networks reliability and performance even in the face of potential interference without having to move communication to a new band. Once interference is detected, or for proactive customers who do wish to avoid the possibility entirely, Aviat offers two solutions. First is an ultra-high power radio and 11 gigahertz to enable customers to move to a new band. We estimate upwards of 80% or more than 90,000 6 gigahertz microwave links in the U.S. can move to 11 gigahertz with this product. Second, is a new innovative multi-band solution operating at 6 gigahertz and 11 gigahertz and utilizing the 11 gigahertz UHP radio specifically designed to protect longer link distances. These new offerings represent a large opportunity for Aviat to solve the growing problem for our customers. And we believe we are several quarters ahead of our closest competitor with these products. In the third quarter, we made several updates to our products to better address our private network customers. We released 1+1 Hardware Protection on our WTM Radio platform. This is important to open the all-outdoor radio market in mission-critical segments such as with public safety, federal and utility customers. We also released a new hardware variant of our CTR router to improve the interface and address the growing capacity needs of our router customers. These upgrades will help to sustain our leadership in the private network segment. Additionally, we won our first major LTE radio access network deal in an international military application which is an exciting adjacency market based on our Redline acquisition. In Mobile Networks, we continue to execute to serve on global Tier 1 and Tier 2 operators who, in many cases, are still in the middle of or just beginning to build out their microwave 5G networks. To enable Pasolink customers to better manage their networks and to further expand the addressable market for our software, we will roll out support for our Pasolink portfolio in our ProVision Management platform in Q4 fiscal year 2024. In India, we received our first orders for microwave backhaul radios. Previously, we had been selling only our EBAND and multiband solutions. The microwave backhaul order is exciting as it represents Aviat's first sale into a $200 million Indian microwave segment that had previously been unaddressed by Aviat. With that, I will turn it over to David to review our financials before coming back for some final comments. David?
David Gray: Thank you, Pete and good afternoon, everyone. During my remarks today, I'll review some of the key fiscal 2024 third quarter financial highlights, noting our detailed financials can be found in our press release and 10-Q filed this afternoon. As a reminder, all comparisons discussed today are between the third quarter of fiscal 2024 and the third quarter of fiscal 2023, unless noted otherwise. For the third quarter, we reported total revenues of $111.6 million as compared to $83.5 million for the same period last year, an increase of $28.1 million or 33.7%. On a constant currency basis, our revenue would have been $114.5 million. North America which comprise 40% of our total revenue for the quarter was $44.4 million, a decrease of $3.6 million from the same period last year, due to the near completion of a large Tier 1 project. For the first 9 months of fiscal 2024, North America is up 3% versus the prior year and bookings in backlog remain strong. International revenue was $67.2 million for the quarter, an increase of $29.8 million or 79.7% from the same period last year. The addition of the Pasolink business contributed $22.5 million of that growth while the core Aviat's business grew by $7.3 million or 19.6%. The strong organic growth was driven by Latin America and Asia Pacific regions offsetting weakness on the African continent. Our trailing 12-month book to bill ratio remained above 1 as it has since fiscal 2018. Gross margins for the quarter were 32.7% on a GAAP basis and 35.2% on a non-GAAP basis, as compared to 35.7% GAAP and 35.9% non-GAAP in the prior year. GAAP margins were impacted by $2 million write down of Aviat inventory that will be replaced in the market by Pasolink products, as well as $0.6 million in amortization of the inventory step-up purchase accounting adjustment. Non-GAAP margins were diluted as expected by the impact of the Pasolink business. Core Aviat non-GAAP margins for the quarter were very strong at 38.4% driven by product mix and operational productivity. Third quarter GAAP operating expenses were $31.5 million, an increase of $9.2 million from the prior year driven by the addition of approximately $5.5 million in Pasolink related OpEx, M&A expenses and increased core R&D expenses. Non-GAAP operating expenses which exclude the impact of restructuring charges, share-based compensation and deal costs were $28.5 million, an increase of $7.9 million driven by Pasolink and increased R&D. Third quarter operating income was $5.0 million on a GAAP basis and $10.8 million on a non-GAAP basis, compared to prior year GAAP of $7.5 million and non-GAAP of $9.3 million, were a decrease of 32.9% and an increase of 16.2% respectively. Third quarter tax provision was $0.6 million compared to $2.2 million last year. Starting in Q3, we have increased our non-GAAP cash tax estimate from $0.3 million to $0.5 million per quarter as a result of the Pasolink acquisition. As a reminder, the company has nearly $500 million of NOLs that will continue to generate shareholder value via minimal cash tax payments for the foreseeable future. Third quarter GAAP net income was $3.4 million, down from $4.9 million last year due to the previously mentioned M&A related expenses. Third quarter non-GAAP net income which excludes restructuring charges, share-based compensation, M&A related costs and non-cash tax provision was $9.4 million compared to $8.9 million for the same period last year, an increase of $0.5 million or 5.6% driven by core revenue growth and margin expansion, partially offset by the addition by the additional R&D investment and modest dilution from the Pasolink business. Third quarter non-GAAP EPS came in at $0.73 per share on a fully diluted basis, compared to $0.75 per share for the same period last year, a decrease of 2.7% as a result of the shares issued in connection with this Pasolink acquisition. Adjusted EBITDA for the quarter was $12.0 million or 10.8% of revenue, an increase of $1.2 million or 11.1% from the prior year. Moving on to the balance sheet. Our cash and marketable securities increased by $13.3 million to $59.2 million, driven by strong cash from operating activities of $15.3 million in the quarter. As a result, we moved from a net debt position of $3.6 million last quarter to a net cash position of $10.2 million at the end of the third quarter. The strong cash generation was driven by core operating results and a positive contribution from the Pasolink business. From a working capital standpoint, our DSOs and inventory turns continued to be impacted by the addition of the Pasolink assets which added roughly 20 days to DSO for Q3 and reduced inventory turns from 7.8 excluding Pasolink to 4.9 as reported. We expect these impacts to moderate over the coming quarters as the Pasolink business ramps and working capital levels normalize. Moving on to our fiscal 2024 guidance. We're updating our full year 2024 revenue guidance to be in the range of $408 million to $418 million and our EBITDA guidance to remain within the previously announced range. This soften guidance is primarily attributable to the slower ramp in Pasolink revenue, cautious CapEx spends by Tier 1 customers and African mobile network business. We expect our EBITDA for the fiscal year 2024 to approximate the current consensus estimate. With that, I'll turn it back to Pete for some final comments.
Peter Smith: Thanks, David. Before Q&A, I would like to briefly discuss our outlook. The Pasolink acquisition is ahead of plan from an EBITDA and free cash flow perspective and we continue to expect it to be EPS accretive by September 2024 quarter. Additionally, the acquisition is tracking well ahead of plan. From an IRR perspective, we still believe the business will get to $140 million run rate level. Previously discussed and our EBITDA margin goals for Pasolink are in sight. The core Aviat business execute in line with our expectations and we're achieving sustained growth ahead of the overall market growth rate. With that operator, let's open up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Jaeson Schmidt of Lake Street. Your line is open.
Jaeson Schmidt: Hey guys, thanks for taking my questions. I just want to start on the updated fiscal 2024 guidance. Dave, I know you've kind of laid out kind of three drivers from that. But if we think about -- let's call it the $15 million delta at the midpoint between the two ranges, can you sort of rank order those three issues in terms of impact?
Peter Smith: So let me rank order them, Jason. One is the Pasolink ramp. And then, I would say two would be Africa and three would be the Tier 1 environment.
Jaeson Schmidt: Okay, that's really helpful. And I know you mentioned you guys are looking over sort of the Pasolink business from a margin perspective. Curious if this changes your thoughts, Pete, on how you looking at fiscal 2025? I think last quarter, you thought sort of $515 million to $520 million [ph]. Is that still achievable?
Peter Smith: Look, I think we'll -- you know, we got a little bit overly enthusiastic with respect to our number for FY25. We typically put that in the August session and I think we will -- we won’t beat that guidance in August. And I would say that $515 million [ph] number will be probably the thigh end of the range but we're not ready to do that. And we discovered some “empty revenue” in Pasolink, so we're not going to take that. And what we're really, really excited about is we're ahead of our plan on cash generation. And we expect by September to be EPS accretive if not sooner.
Jaeson Schmidt: Okay. That makes sense. And then just the last one for me and I'll jump back in the queue. I know you previously said that you never expected BEAD to have a big impact on calendar '24 but curious if you could just update your thoughts on how you're thinking about some of these government funding initiatives and what sort of timetable to an impact to the P&L?
Peter Smith: Yes. So we've been consistent that BEAD is a calendar year '25. We are seeing some incremental orders from the Rural Digital Opportunity Fund. And ARPA, the American Rescue Act, we know that, that needs to be spent by the end of December 2026 and we are not forecasting anything but we are well-positioned to have a positive surprise. And when we get that, then we'll update you all.
Operator: Our next question comes from Scott Searle of ROTH Capital Partners.
Scott Searle: Pete, maybe to dive in on Pasolink. I think back in the [indiscernible] about $22 million or so in the quarter, gross margins in the 28% range. I'm wondering if you could address where you think Pasolink can get to. I think that the target number was getting $30 million, $35 million on the top line and being able to bring up gross margins more in line with core Aviat. What are the current thoughts there? How big is the magnitude of, call it, empty or hollow revenue that you were finding with Pasolink.
Peter Smith: Yes. So Scott, it's a matter of time on getting to the $140 million and our view on getting to 33% gross margins remains intact. And one of the drags on the gross margin right now is the impact of the transition services and that each quarter, we progressed that will get less and less and that -- so that will have a positive impact. And then we are working on reducing field service costs as well as cost of goods sold. So we feel good about that.
Scott Searle: Got you. And maybe a follow-up from an OpEx standpoint, it seems like you guys have done a lot of rationalization at this point in time. Is there more to go on that front?
Peter Smith: Yes. So look, we're disappointed with our enthusiasm on the top line. We are very, very enthusiastic about our ability to remove cost and squeeze both the operating expense and the gross margin line. And that's really why we gave the hint about our IRR being 2.5x our lag. And I think we'll give some more color on that in 6 months because we're really, really pleased with the returns we're projecting. We -- look, we -- the returns would be even better if we -- the faster we can get the -- some of the ramp issues out of the way. But net-net, we would still do this deal and we're happy about the customer engagements. We're happy about the return and we just need to be a little more circumspect with respect to the Pasolink ramp.
Scott Searle: Got you. Last two items. I think core Aviat gross margin at 38%. Historically, that's tended to be a bit of an anomaly. So is that the sustained range going forward or does that come in a little bit in the June quarter? And lastly, new products and opportunities, India and then specifically some of the areas of router in 11 gigahertz. I was wondering if you could just give us a timeline of when you expect that to contribute.
David Gray: Hey Scott, I'll take the margin question first. So yes, our organic gross margins were very strong in the quarter at 38.4%. And year-to-date, we are right around 38% which is a couple of hundred basis points better than our initial guidance for the full year of FY '24. We do expect probably a modest pullback in Q4 but we'll still be well ahead of what we were projecting on a full year basis. So I think things are looking good from that standpoint. And I think it kind of resets what the expectation should be going forward.
Peter Smith: Okay. So Scott should I -- let me jump in with the product question. So the 1+1 Hardware Protection on the WTM, right, that gives us a high reliability, high-capacity outdoor radio. We think that, that increases the addressable market by about $50 million. We also mentioned our frequency assurance on our leading private network competitor that's available now and we have received initial orders and that's high margin. We see the 11 gigahertz radio. We've previously announced [indiscernible] that is in the market. We think the opportunity size there is $120 million and then the long distance link protection with the multi-band 6 gigahertz plus 11 gigahertz. That's a smaller market, say, $30 million. And it's in our toolbox right now. And the reason we bring all the stuff up is because of the 6 gigahertz unlicensed band opportunity which we think will drive more backhaul and is good for the fixed wireless folks.
Operator: And our next question comes from Theodore O'Neill of Litchfield Hills Research.
Theodore O'Neill: Pete, you mentioned in your prepared remarks that you are seeing cross-selling and I was wondering, between the Pasolink and your products are you seeing -- are there any surprises there that you weren't expecting?
Peter Smith: So that's actually making it difficult to kind of keep the business separated. And we see opportunity in services to take -- to provide services where Aviat didn't have footprint and vice versa. So that's a pleasant surprise that's masked by our slower-than-expected ramp but we're really excited about that. And I would say we're 6 months out from being able to bring some of the Aviat software and put it on top of the Pasolink radio. And what I would -- this doesn't show up in the financials but we're enthused about the customer engagement and the desire for us to make things like FAS and HAS [ph] and our network management software work on the Pasolink radios.
Theodore O'Neill: Okay. And on the diverse India microwave backhaul order, did something unique happen in India that opened up this opportunity for you?
Peter Smith: I think we proved ourselves with the E-band and multiband and our vendor-agnostic software as well as our delivery. And what that was an opportunity to do was go after some of the incumbents and the feedback that we've received, right? We did well when we got the small opportunity and the feedback we're getting now on the microwave pieces, they like the technical performance of our product, the simplicity of the design and some of our key features. So we're -- we executed on the toehold and it seems like it's going to pave the way for future growth.
Theodore O'Neill: Okay. And for David, on selling and admin expense, I'm wondering how it should trend from here. There's $1.7 million of M&A in the current quarter. And I'm wondering if that continues.
David Gray: That should go down significantly from here on out. I wouldn't expect there'd be some straggling costs as we tackle certain things. But no, they're -- like Pete mentioned, that would have helped the margins that also help our OpEx is the reduction in some of the transition services costs quarter-over-quarter as we go forward. So we expect to be getting more of those costs out going forward. So that should be working in our favor.
Theodore O'Neill: Okay. And my last question. Pete, I think every company should be filing S-3 shelf filings of however much money they can get. But I was wondering if you could share your thoughts on putting that in place for Aviat.
Peter Smith: Yes. So we have an existing shelf from three years ago that expires on May 4. And I know that some investors get concerned about -- I think we're -- we've been a prudent deployer of capital. And so us just putting the shelf in place is a good corporate housekeeping if some opportunity were to present itself, we're in a position to capitalize on it. But I want to be clear, we currently have no active deal in our M&A pipeline that would necessitate pulling down the shelf but we just wanted the flexibility. And then, a couple of investors put in some questions since that filing came out about our firepower. And we were comfortable using debt up to 3x our 12-month trailing EBITDA or 3x the pro forma combined EBITDA. So we think we have some significant firepower. And then an additional question was -- if you use that debt, what would the rate be and we think it would be in the SOFR plus 250 basis points to SOFR plus 300 basis points.
Operator: And our next question comes from Tim Savageaux of Northland Capital Markets.
Tim Savageaux: You mentioned 7% organic growth for Aviat in fiscal Q3. I wonder if you can give us a similar estimate, not a similar number but the same type of estimate for organic growth that you're implying here for Q4 -- and I think that brings you in, right, likely bring you in somewhere around 5% for the year. Is that sort of rate maybe a little bit below your historic growth rate but would you expect -- at least as you look at it now, would you expect that to persist into fiscal '25 or maybe something more typical kind of mid- to high-single digits in terms of organic growth rate for Aviat?
David Gray: Yes. I think in that mid-single digits where we would end this year would carry forward into '25. We're not going to estimate in the high single digits at this point.
Peter Smith: Look, for modeling purposes, put it at mid-single digits and we -- of course, we're going to try and do better than that. And look, we talked about two other headwinds Tier 1 and Africa. We think that the Africa is really at a bottom and that's largely interest rates. And another data point that I'd like to add is on a constant currency basis, our revenue was down 4%. It would have been 4% higher if we didn't have the emerging market currency issue and we would have had about $1.9 million more EBITDA. So we beat the consensus on the bottom line despite that. So our number 1 focus is to drive the Pasolink revenue up quicker. And we -- I would say the African currency issue that's beyond the control of Aviat but we're well-positioned when that dam breaks.
Tim Savageaux: Okay. And maybe I was going to follow up with that with hopefully a discussion on some of the puts and takes around that organic growth rate. You mentioned Africa, although that sounds like it's impacting this year. And if it's bottoming, maybe that could be a tailwind. I imagine the rural broadband growth drivers to get stronger next year. Then again, you mentioned finishing up a Tier 1 project and maybe that's a tough compare. So Pete, I wonder if you might just go through some of those puts and takes around that mid-single-digit growth rate and what could drive it either way.
Peter Smith: Yes. So the Tier 1 project is a tough compare. We think we have about 35% share of rural broadband. And if the RDOF kicks in a meaningful way, that's going to be very, very positive for us, a reversal in the currency with respect to Africa is going to be good. And then -- so let me come back to the U.S. Tier 1. This is a question that we've gotten in the quiet period is about some multi-dwelling unit trials that we can't disclose the customer but we'd acknowledge those. And if that were to get across the goal line, that would be a significant uplift to offset the completion of the project. So we're pretty happy with our funnel and we think that the future is rather bullish for us and so the puts and takes -- the put is the completion of the U.S. Tier 1. We see new projects with our major U.S. Tier 1 customer that could be a lift for us. We see Africa currency at the bottom and we need -- as interest rates moderate, that's going to reverse and we need to get the Pasolink ramped up to where it should be.
Tim Savageaux: And that's a good place to end for my last question which is would you hope to have that up to the target run rate by the end of fiscal '25? And that's it for me.
Peter Smith: Yes. Yes, that's -- I think we usually give you a hard time for not being direct in my answers and rightfully so from your perspective. My answer on that is a crystal clear yes.
Tim Savageaux: Received in a crystal-clear fashion.
Operator: [Operator Instructions] I'm actually showing no further questions. At this time, I'd like to turn the conference back to Pete Smith for closing remarks.
Peter Smith: Thanks, everyone for joining us. We're looking forward to updating you at about 90 days. We remain enthusiastic about the business. We think our products, customers and our cost reduction programs are on track and we're certainly bullish about the future. Thanks, everyone.
Operator: This concludes today's conference call. Thank you for participating and you may now disconnect.